Operator: Thank you for standing by. This is the conference operator. Welcome to the Westwater Resources, Inc. Business Update Conference Call. [Operator Instructions] The conference is being recorded. I would now like to turn the conference over to Frank Bakker, President and CEO. Please go ahead, sir.
Frank Bakker: Thank you, moderator, and thanks to those attending this investor call. With me today is Terence Cryan, our Executive Chairman of the Board; and Steve Cates, our Chief Financial Officer. During this presentation, the forward-looking statements we make are based on management's judgments on a variety of issues, including, but not limited to, future graphite demand and price forecasts; construction schedule and cost projections; economic expectations related to the Kellyton graphite plant and the Coosa Graphite Deposit; and capital-raising activities, including the estimated timing of those activities. These and other similar statements are subject to certain risks and uncertainties of which the description can be found on Slide 2 within the presentation and in our 10-K for 2022 and our other SEC filings. Please read our cautionary statement and realize that actual results may differ materially from what is discussed today. Turning to Slide 3. Westwater holds mineral rights to approximately 42,000 acres across the Alabama Graphite Belt. We believe that the Coosa Deposit is the largest, most developed U.S.-based graphite deposit in the lower 48. To date, data has been collected from approximately 46,000 feet of drilling across 236 drill holes. This drilling activity has occurred on less than 10% of the total acreage. So there is obviously substantial scope for expansion and the potential to supply not only Westwater's graphite concentrate needs for many years, but also that of the broader North American battery-grade graphite anode materials industry that is under development. Vanadium has also been discovered at the Coosa Deposit and remains to be evaluated for potential economic benefits, which we believe could be substantial. Slide 4. Earlier this year, we started updating the technical resource report with an economic analysis. We're pleased to share with investors the results of this analysis, which was prepared pursuant to SEC regulations and filed with the SEC yesterday, which we refer to as a PEA. The results of the PEA indicate that the Coosa Deposit has an estimated pretax cash flow of $714 million and anticipated pretax NPV of approximately $229 million and an estimated pretax IRR of 26.7% and an estimated mine life of over 20 years. It's worth noting that the PEA does not include data from all of the holes drilled to date but was completed based on 205 drill holes totaling a little over 39,000 feet. Data from the remaining drill holes is positive and more drilling is needed in those areas prior to including these in the overall mineral resource estimate of Coosa. Turning to Slide 5. The initial mine plan for the Coosa Deposit anticipates using conventional small-scale open pit mining methods with several shallow pits, less than 100 feet deep, utilizing small conventional loading and hauling equipment. The PEA assumes that at full-scale production, the mining rate will be approximately 3.3 million short tons per year, resulting in an initial estimated mine life of 22 years. As mentioned, less than 10% of the acreage at the Coosa Deposit have been explored. Therefore, the current PEA does not include any upside potential from the undrilled acreage nor does it include any potential contribution from vanadium, which can be evaluated later in the Coosa development cycle. PEA confirms that the Coosa Deposit is a highly valuable asset with attractive economics. And we've started the process seeking strategic investment to advance Coosa, which could include strategic investors or partners. Moving to the Bama Deposit on Slide 6. Bama Deposit is located in Chilton County, Alabama, and consists of approximately 1,300 acres of mineral rights on land that was previously mined for graphite decades ago. Located less than 9 miles from I-65 and less than 1 mile from a major railroad, the Bama Deposit has excellent infrastructure already established. While our recent focus has been on the Coosa Deposit, we believe the Bama Deposit brings additional upside value creation potential for Westwater and its shareholders. Slide 7. Graphite anode material accounts for approximately 50% of the critical minerals by weight in a lithium-ion battery. And a typical electrical vehicle has around 175 to 210 pounds of graphite. The demand growth in North America for CSPG is expected to grow to approximately 200,000 metric tons per year by 2030 and to over 400,000 metric tons by 2035, representing the largest demand growth of any critical mineral used in lithium-ion batteries. While some U.S. automakers have seen some softening in consumer demand for EVs, U.S. EV sales were up 11.8% in the third quarter compared to the same quarter in 2022 according to Benchmark Minerals. Currently, the U.S. is 100% dependent on foreign imports of natural battery-grade graphite and nearly 100% of today's graphite anode materials are processed to some degree in China. According to Benchmark Minerals, in 2022, 100% of uncoated spherical purified graphite, or SPG, was processed at least in some parts by China. We believe that the recent graphite export restrictions by China that began on December 1 should serve as another wake-up call for the entire battery supply chain relying on critical minerals from China. In addition, on December 1, the U.S. Department of Energy released proposed guidance listing China as a foreign entity of concern within the Bipartisan Infrastructure Law and the Inflation Reduction Act. Under this proposed guidance, an electric vehicle is disqualified from receiving a $7,500 clean vehicle tax credits starting in 2025 if the EV battery contains any critical mineral, including graphite extracted, processed or recycled by China or another foreign entity of concern. We believe this is a positive and very important step for establishing a graphite supply chain here in the United States. We believe government support is critical to establishing a domestic source of graphite products, which includes the FEOC proposed guidance. Although the current graphite anode supply chain is well established, incentives and guidance like the IRA, the foreign entity of concern and a 25% tariff on graphite imports are critical in motivating battery and EV manufacturers to replace their current source of graphite anode materials with sources located in the U.S. We have been active alongside with others in the battery materials industry in discussing and educating federal agencies about the need for continued support to establish a domestic battery material supply chain. We plan to continue these efforts and will continue to support legislation that's focused on securing a reliable and sustainable domestic supply of battery-grade graphite products in the U.S. Our potential customers are actively seeking domestic graphite supply and some have taken a wait-and-see approach based on the evolving geopolitical climate related to the domestic versus imported graphite. The recent proposed clarification of what constitutes a foreign entity of concern and its potential impacts on the IRA-compliant material, the 25% tariff on graphite imports and the recent export restrictions requirements by China should incentivize battery cell makers and EV manufacturers to replace the current source of graphite materials, sourcing them domestically. Before ending the call, I want to reiterate that the graphite anode market in the U.S. is in its early stages, and Westwater represents the only U.S.-based and U.S. publicly traded company that's operating at ground 0 of this new domestic market. We believe there are strong tailwinds for the domestic graphite battery market. We're very pleased with the PEA results for Coosa, indicating an estimated pretax NPV that is over 6x our market cap as of market close on December 12. The Westwater team remains committed, and I believe we have the team to execute our business plan. And I am extremely proud of the team's performance in this dynamic environment. Negotiations on offtake and financing agreements with Kellyton continue to be fairly active with multiple parties, and we look forward to providing an update soon. I want to thank you for your continued interest in Westwater, and I want to wish everybody happy holidays and a happy New Year. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.